Operator: Good morning, ladies and gentlemen and welcome to Gartner’s earnings conference call for the Second Quarter 2011. A replay of this call will be available through September 2, 2011. (Operator Instructions) This call is being simultaneously webcast and will be archived on Gartner’s website at www.gartner.com for approximately 90 days. I’ll now turn the conference over to Brian Shipman, Gartner’s Group Vice President of Investor Relations, for opening remarks and introduction. Please go ahead, sir.
Brian Shipman: Thank you and good morning, everyone. Welcome to Gartner’s second quarter 2011 earnings conference call. With me today is our Chief Executive Officer, Gene Hall and our Chief Financial Officer, Chris Lafond. This call will begin with a discussion of the quarterly financial results disclosed in today’s press release as well as an update of our increased revenue guidance followed by an opportunity for you to ask questions. I’d like to remind everyone that the press release is available on our website. That web address is www.gartner.com. Before we begin, we need to remind you that certain statements made on this call may constitute forward-looking statements. Forward-looking statements can vary materially from actual results and are subject to a number of risks and uncertainties, including those contained in the company’s 2010 Annual Report on Form 10-K and quarterly reports on Form 10-Q as well as in other filings with the SEC. I would encourage all of you to review the risk factors listed in those documents. The company undertakes no obligation to update any of its forward-looking statements. With that I’d like to hand the call over to Gartner’s Chief Executive Officer, Gene Hall. Gene?
Gene Hall: Good morning, everyone. Thanks for joining us. Our second quarter results for 2011 continued the trend of accelerated growth that we have delivered through the successful and consistent execution of our strategy for growth. The fundamentals of our strategy are, first, to create extraordinary research insight. To built strong sales capability. To deliver high value offerings. To provide world call service. And to continuously improve our operational effectiveness. This strategy has been successful across our businesses and across all geographies. In the second quarter of 2011, growth in research contract value was the fastest since early 2007. Our contract value ended at the highest level ever reported in Gartner’s history, up 16% year-over-year, excluding the impact of foreign exchange, to over $1 billion. The 16% year-over-year increase in research contract value was driven by both record second quarter new business and strong and client and wallet retention. New business was the highest of any second quarter in Gartner’s history and wallet retention once again reached 100%. This growth was achieved despite a mixed global economic environment. Our events business performed extremely well in the second quarter, a strong year-over-year increases in attendees and in revenue. In consulting, the strong pipeline we discussed last year converted to 9% – sorry, last quarter converted to 9% sequential improvement in backlog in Q2. We are confident this business will perform in line with expectations for the full course of the year. Continued positive momentum in our growth has been driven by the success of our initiatives to improve sales force productivity, drive higher client retention, and penetrate new clients. IT and supply chain management remain the best way for companies to improve in any macroeconomic environment. These areas are and will continue to be complex and continuously evolving. IT and supply chain professionals need expert assistance and insight to help them make critical business decisions that they face virtually every day. Gartner is the best and most cost effective resource they can turn to for that help. And often makes the difference between success and failure in any economic environment. Our strong contract value growth and high retention rates continue to be a testament to this fact. I have never been more confident in or excited about our prospects for continued accelerated growth than I am today. We have vast untapped market opportunity for our service, which we estimate at over $45 billion for research alone. There are hundreds of thousands of IT and supply chain practitioners who could potentially be Gartner clients, but have never been educated on the value we can provide. The Gartner brand is in a class by itself. Our products and services lead the market and we have a great business model. Gartner is the strongest company it’s ever been. With that I’ll turn it over to Chris for additional details on our results and financial outlook.
Christopher Lafond: Thanks, Gene, and good morning everyone. The continued successful execution of our strategy resulted in another quarter of double-digit year-over-year growth in revenue, earnings and cash flow in the second quarter of 2011. Our results once again demonstrated our ability to consistently deliver on the long term financial objectives we established and communicated over the last few months since our Investor Day in February. Let me start today with a review of our business segment results for the second quarter and finish with a discussion of our outlook for the remainder of 2011. In research, second quarter revenue was up 20% as reported and 14% excluding the impact of foreign exchange. The gross margin in this segment increased 2 points year-over-year to 67.3% as we successfully capitalized on the operating leverage we generate as revenues grow. Our research business clearly accelerated in the second quarter. With the success of our initiatives to improve sales capacity and effectiveness, we grew contract value year-over-year by 16% excluding the impact of foreign exchange to a record level of $1.7 billion. Recall that contract value related to our acquisitions of AMR and Burton was included in the reported contract value in Q2 2010, and so this performance is a true reflection of the growth in our business. This quarter’s year-over-year growth is notable given that our comparisons were increasingly difficult this quarter, yet we showed acceleration in contract value growth. As Gene mentioned the second quarter of 2011 was the fastest growth for contract value that we recorded since the second quarter of 2007. At the same time we showed acceleration from the first quarter which puts on pace to hit our long-term target of 15% to 20% growth for the full year. New business increased 26% year-over-year and consistent with the trend over the past few years was balanced between sales to new clients and sales of additional services and upgrades to existing clients. In addition approximately 85% of our contract value growth came from volume versus price. This volume growth reflects our success at continuing to penetrate our vast market opportunity with both new and existing clients. And as a result we ended the quarter with 11,607 client organizations, up 5% year-over-year. In additional to sales of new subscriptions, our contract value growth continues to benefit from our discipline of annual price increases and no discounting. Over the long term we continue to expect to increase our list prices by 3% to 6% per year. From a client perspective our retention continues to improve as we retained more of our clients and the clients we retained increased their spending on Gartner research. Client retention increased one point year-over-year to 82% and we have maintained client retention near our all time highs for four quarters in a row. Wallet retention increased seven percentage points year-over-year to over 100%. Wallet retention is higher than client retention due to a combination of increased spending by retained clients and the fact that we retain a higher percentage of our larger clients. As we have discussed in the past our retention metrics are reported on a four quarter rolling basis in order to eliminate any seasonality. In summary our research segment continued to perform strongly and growth accelerated in the second quarter. We grew our contract value by $135 million on a year-over-year basis. We are seeing increasing levels of demand from our clients and we expect continued acceleration in revenue and contract value growth over time. As a result we remain confident in our ability to deliver 15% to 20% annual revenue growth in this business over the long term. Turning now to events. The strong performance of our events business in recent periods continued in the second quarter. Revenue increased 28% year-over-year on a reported basis and 24% excluding the impact of foreign exchange. During the second quarter we held 21 events with 11,295 attendees, compared to 9,697 at an equal number of events in the second quarter of 2010. On a same events basis, which is some of events held in the second quarter of 2011, were also held at some point in 2010, revenues increased 27% on a reported basis or 24% excluding the impact of foreign exchange. This revenue growth reflects strong growth in both attendees and exhibitors. We continue to benefit from our efforts to increase client retention by enhancing the client experience and value that our events provide. On this same measurement basis attendees increased 14% and the growth in attendees coupled with sales effectiveness initiatives helped drive a 13% increase in exhibitors on a same event basis. In the second quarter the events gross contribution margin increased by seven percentage points year-over-year to 46%. This was driven by three factors. First a shift in our events calendar with one high margin mature event held in Q1 last year that moved to Q2 this year. Second, the elimination of two lower margin events, and third and most importantly, continued growth in attendees and exhibitors at our ongoing events. These results following our 24% increase in revenues in the first quarter of 2011, excluding the impact of foreign exchange and 21% increase in revenue for the full year 2010, clearly demonstrate that continued strength in our events business is being driven by the high value that attendees find in our events. We expect this foundation along with our strong advance bookings for the remainder of the year, will translate into strong growth for the full year 2011. With these strong first half results our events business remains on track for another outstanding year and I’ll talk more about our outlook in a few minutes. Moving on to consulting. As we told you last quarter our sales pipeline heading into the second quarter was solid and up significantly year-over-year. Our successful conversion of the pipeline resulted in much stronger bookings than we experienced in the first quarter and a sequential increase in the backlog of 9%. Backlog, the key leading indicator of future revenue growth for our consulting business ended the quarter at 95 million. This represents a healthy four months of backlog and additionally our pipeline looks equally strong again as we start the third quarter. Revenue in consulting grew just under 3% year-over-year as reported and declined 2% excluding the benefit of foreign exchange. Billable headcount of 490 reflects our continued investment in transitioning to a managing partner model for this business. Second quarter utilization was 64% and revenue per billable headcount remained above $400,000 per year ending the quarter at $414,000. While the revenue results for the consulting business continue to be slightly below our original expectations, we remain very optimistic for the outlook for this segment for the rest of 2011. This confidence stems from many factors including, as I mentioned, an improved backlog at the end of the second quarter and the fact that our pipeline remains strong and up significantly compared to this time last year. Moving to the income statement. During the first quarter our total gross contribution margin increased by 2 percentage points year-over-year to 58.3%. This increase was due primarily to the successful execution of our strategy to capitalize on the operating leverage inherent in our research business and to a lesser extent having a seasonally stronger quarter in our events business. SG&A increased by $22 million year-over-year during the second quarter. The increase was attributable to the growth on our sales force as well as the impact of foreign exchange. As of June 30, we had 1146 quota bearing sales associates and since December 31 we added 95 sales people, remain on track to achieve our target of growing our sales force by 15% to 20% for the full year. We again reduced G&A as a percent of revenue year-over-year by continuing to tightly control G&A costs across the entire company. Moving to earnings, we delivered another strong quarter. Normalized EBITDA was $68 million, up 19% year-over-year and diluted income per share was $0.32, up 60% year-over-year. Our normalized EBITDA margin increased to 18.6% from 17.1% or a 150 basis points. This trend continues to reflect our commitment to improving margins even as we invest in the growth of our business. As expected our Q2 2011 GAAP diluted income per share included $0.02 per share of non-cash amortization cost associated with the AMR and Burton acquisitions. Turing to cash. As we expected our strong performance in the quarter translated into an increase in cash flow, mainly driven by cash from operations which increased 14% to $89 million. For the full year 2011 and on to the long term we continue to expect to generate free cash flow substantially greater than our net income, given our tight cash management and the negative working capital characteristics of our research business. During the first quarter we deployed excess cash principally to return capital to our shareholders, through our share repurchase program. We repurchased over 930,000 at a total cost of just under $36 million. We ended the quarter with a strong balance sheet and cash position with net debt of $95 million. Our current credit facility runs through December 2015 and at this time provides with $350 million of remaining borrowing capacity. We have ample cash flow and liquidity to continue to grow our business and execute initiatives that drive increased shareholder value. We continue to look for attractive acquisition opportunities as a potential use of cash. In the absence of appropriate acquisition opportunities we believe that repurchasing our stock remains a compelling use of our capital and we have over 416 million remaining under our existing board authorization. Now let me turn to our business outlook for the remainder of 2011. 2011 is off to a strong start and we’re well positioned for double digit revenue, earnings and cash flow growth this year. The details of our guidance are included in our earnings release issued this morning, but let me take a minute to highlight some of the changes. Overall on a consolidated basis we’re raising the low end of our previous issued revenue guidance by $10 million. And we’re raising the high end of our previous revenue guidance by $5 million. With respect to research we now expect revenues between $995 million and $1.15 billion for the year. We are raising our range on both the low and high end by five and expect this segment to grow between 14% and 17% for the full year. Next in consulting we now expect revenues of between $310 million and $325 million. While we modestly reduced the top end of our previous guidance range we still remain confident this segment will grow between 3% and 8% for 2011 consistent with our long term objectives. In our events business we now expect revenues between $135 million and $145 million, an increase of $5 million to both the low and high end of our previous guidance range. From a seasonality perspective I would highlight that our third quarter will have eight fewer events as compared to the second quarter. Additionally, the majority of these events will be held outside the U.S. and are smaller in scale. Advance bookings for both exhibitors and attendees was very strong for events we would hold in Q4, which our symposium season and seasonally the largest quarter of the year. And as a result we expect stronger revenue growth from the events business in Q4 then during Q3. There are no other changes to our previously issued guidance. So to summarize, Gartner’s research business experienced acceleration in the second quarter, growing CB at its fastest pace in 4 years and we generated double digit growth in research revenue. We are deploying our substantial cash flow both to invest in our business and return capital to shareholders through our share repurchase program, and finally we are well positioned for double digit revenue, earnings and contract value growth and increasing returns to our shareholders for the full year and over the long term. With that I’d like to turn the call back over to Gene before we take your questions. Gene?
Gene Hall: Thanks Chris. Russ Fradin has been a highly valued member of Gartner’s board since 2007. He recently changed jobs and was named CEO of a major technology company that Gartner’s covers in our research. Russ understands the importance of Gartner’s research objectivity and independence, and with great sensitivity to that has resigned. We will miss him and wish him all the best in his new endeavor. With that we’d now like to take questions.
Brian Shipman: Larry, we’re ready to take Q&A now.
Operator: (Operator Instructions) And our first question comes from the line of Peter Appert of Piper Jaffray. Please proceed.
Peter Appert - Piper Jaffray & Co.: Thanks, good morning. So Chris, the margin leverage continues to be very impressive in the context of the sales force expansion, so you’ve in the past talked about comfort I think with low 20% kind of operating margins. I’m just wondering if you’re rethinking the potential leverage in the business and the upside potential in margins in the context of the performance you’ve been able to generate.
Christopher Lafond: Great, thanks Peter. It’s a great question. Yes, as we have said all along our first goal was to drive the business back into the 20% range and then take a look at where it is from there. Obviously at the beginning of this year we looked at our expectations we originally had thought we could grow margins annually between zero and 100 basis points. If you recall at Investor Day we increased that to 50 to a 150. So we continue to be very confident in our ability that even as we expand this sales force, grow and invest in the businesses as we have been doing, that we’ll continue to see margin expansion. And so as you have seen this year we’re continuing to see it in the 100 and 150 basis point range this year. So our expectation is we certainly think that for the foreseeable future we can keep driving this into the mid twenties and as we said before that doesn’t necessarily mean that’s where the ending point is. So at this point I would expect that we can continue to see the kind of expansion that we think we can see in that 50 to 150 basis points for quite some time.
Peter Appert - Piper Jaffray & Co.: Great, thanks Chris. How important have the AMR and Burton deals been to the margin leverage story? Is that a key driver?
Christopher Lafond: I wouldn’t say it’s a key driver to the margin leverage. You know obviously anytime we do an acquisition we have the opportunity to reduce some costs, particularly around G&A, but those were two relatively small business. So I would say in those two cases the cost takeout was a relatively small impact. On the margin, they were certainly probably less scale obviously and less profitable then Gartner, so certainly as we bring them into the Gartner business we can get some leverage out of that. But I would say given their size and scale that was not the major driver of any of our financial margin results.
Peter Appert - Piper Jaffray & Co.: Got it. And Gene, a lot of concern in the market in terms of potential weakening macro environment, your results don’t seem to reflect that. And any color in terms of tone of business, what you’re hearing back from sales people etcetera?
Gene Hall: Yeah, Peter, it’s Gene, so a great question. In fact I just got back from a meeting with our sales leaders strewn around the world, and I’ve never seen them more enthusiastic and energized about the opportunity we have in future growth prospects that they are seeing today and through the rest of the year and going forward from there. So lot of enthusiasm now and in terms of our client feedback continuing enthusiasm as well. So if you relate this to IT, as I said in my remarks earlier, IT remains kind of the single best leverage point for most companies to improve their business and they recognize that and are focused on it, and we are the best source of help for that. Now I think that fundamentally was driving the continuing strong demand for our services.
Peter Appert - Piper Jaffray & Co.: Got it. And just one last thing. Gene, so the AMR and Burton deals obviously have worked out quite well. I know you would be interested in doing other things. Is there anything on the table, anything in the pipeline that looks intriguing?
Gene Hall: Peter, as I said before, acquisitions continue to be of interest to us as they always have. We track a number of companies and obviously I can’t comment on any specific company or segment or anything like that.
Peter Appert - Piper Jaffray & Co.: Okay, great, thank you.
Operator: And our next question comes from the line of Dave Lewis of J.P. Morgan. Please proceed.
David Lewis – J.P. Morgan: Hey, good morning guys. I just want to – Gene or Chris, if you could just comment on inquiries and overall, the overall technology industry and perhaps the questions you’re getting in – just the pulse of inquiries right now?
Gene Hall: So the inquiries from our clients are up substantially year-over-year. It’s up slightly more than our overall growth as a business. And the main things that – the top topics that people are interested in are, one, continues to be cloud computing. And other one is how best have mobile applications – applied mobile applications to their business.
David Lewis – J.P. Morgan: That’s great, Gene. And can you also just touch on the corporate level and the executive level participation in these conversations or involvement. I think that has – you’re seeing a bit of a change there but does that help the sales? Are you seeing more involvement from executives that have to be more in touch with technology than say last year or a few year ago?
Gene Hall: Yeah, great question. We have about 3500 CIOs as our clients around the world. So basically we are out there talking to the technology leaders of virtually every important institution in the world. And obviously that’s a big help for understating what their priorities are and advising them on how to improve their businesses.
David Lewis – J.P. Morgan: That’s great. And one last one and I’ll roll off here. Chris, could you provide just a little bit of guidance on your currency, foreign exchange with their guidance and what their contribution might be there?
Christopher Lafond: Thanks Dave. Yeah, it’s a good question. Obviously, foreign exchange rates have moved around quite significantly. As you know when we start the year and give our guidance we try not to anticipate. You know it’s not our job to anticipate foreign exchange. So when we set the guidance within the year we used kind of the rates around January 1st. When we did this latest guidance we used the rates over the last week or so when we finalized our guidance. So we have not made any assumptions that are going to change from here. If they do we will obviously revise our guidance as we get through the next quarter. So there is obviously a lot of uncertainty and we’re not trying to be predictive of where they are going.
David Lewis – J.P. Morgan: Thanks, Chris.
Operator: (Operator Instructions) And our next question comes from the line of Dan Leben of Robert W. Baird. Please proceed.
Daniel Leben - Robert W. Baird & Co.: Great. Thank you. First, if you could talk about trends you saw in Europe during the quarter. Any changes – any differences between the periphery and the quarter?
Gene Hall: Yeah, it’s Gene. So Europe basically was in trend and I think we saw similar performance across all the countries in Europe. So, no, nothing to call out on any specific country or Europe as a whole.
Daniel Leben - Robert W. Baird & Co.: Okay, great. And then on the events business you’ve had very strong performance there, as some of these corporate travel budgets have come back. Help us understand what the opportunity looks like there for adding new events? Are there some things that as you look into ’12 and ’13 that will have some opportunities to add some new ones?
Gene Hall: So it’s a great question. Actually we’re planning that now and we think we can add – that we have the opportunity to add between probably three and ten events each year. And we haven’t locked that down in terms of what those are going to be for next year but we’re confident we can do that for the foreseeable future. We don’t see any limit in terms of the numbers of events. That will continue to grow up every year as far as we can see out.
Daniel Leben - Robert W. Baird & Co.: And the follow up on that. The bulk of the opportunities taking successful conferences in the U.S. and moving them around the world or are there new opportunities in the U.S. as well?
Gene Hall: There’s actually three kinds of opportunities. So there are new opportunities in the U.S. still, but in our existing –we’re actually seeing great growth in our existing events. And so one of the foundations is that – one of the foundations of our events strategy is continue growing those existing events. And that perhaps is a great foundation for growth. And then as you said continue to add new events in the U.S. and continue to add new events outside U.S. as well. So one of the reasons we’re seeing such robust growth from events is that we’re both growing the existing events. Again we don’t see any natural limits to that as well. As well as adding these other events to it over time. And that’s kind of what’s providing the great growth. Obviously it’s just been supported by the relax in travel restrictions but I think the other two factors are kind of even more important.
Daniel Leben - Robert W. Baird & Co.: Great, thanks Gene.
Operator: And our next question comes from the line of Robert Riggs of William Blair. Please proceed.
Robert Riggs - William Blair & Company: Hi, thanks for taking my questions. As we think about the 2011 guidance, research has performed very well, events has performed very well. Is consulting really going to be the swing factor that gets you towards the higher end of that or at the low end or is there still some room in in the research business?
Christopher Lafond: Well, when you think about each of the three segments, Rob it’s Chris, first as you get through the year, research gets pretty tightly predictable. Obviously with our subscription revenue so the ability for the research number to move pretty significantly gets smaller and smaller as you move through the year. So I would say that the research number, barring foreign exchange movements, is pretty tied in that range. Events, obviously fourth quarter is our biggest events period. It’s our symposium season. It’s probably 50-60ish percent of the revenue stream for the year. So it’s a big quarter. We have great visibility right now into early bookings on the exhibitor side. It’s trending as high as it’s ever been for those conferences so we feel really good about those events. Obviously attendees book a little closer to the events so the visibility there is a little less. So there is obviously still some variability which is why the range is still relatively wider there, in that business. But, again, right now everything is trending nicely. All of our events continue to see the kind of growth that I shared earlier on the 20% to 30% revenue growth in those events. So that’s all looking really strong. Consulting, we have a nice four months backlog now. We are entering the back half of the year with strength. As we talk about many times, our contract optimization business is the piece of the business that has a little less visibility for us. And so – and a little less consistent seasonality as to when clients are doing large deals which is why we have the range we have there. So I don’t think consulting should be a huge driver to the overall revenue variability but that’s the way you should think about each of the three business segments and how the visibility we have to each of them.
Robert Riggs - William Blair & Company: Great, thanks. And when you think about driving the increased penetration at your existing customers, any changes with the sales force to drive that productivity higher. Be it incentives or the way they are approaching their business. What’s kind of the key there with your existing clients?
Gene Hall: So we have a lot of focus on driving sales force productivity and if you look at the numbers our sales force productivity has been going up quarter by quarter. And it’s a whole series of programs ranging from, making through hire the right people to the best training programs and any sales force. And all those things apply actually to new clients as well as with existing clients. When you focus on making great sales people it doesn’t really matter whether they are sales additional stuff to existing clients, whether they’ve actually got new clients. And in fact that’s where we are seeing really good strength across both upgrading existing clients. Selling additional things to existing clients as well as adding new clients. So all three of those have been very robust. And it’s – because if you’ve got great sales people, those sales people can sell in all three of those environments.
Robert Riggs - William Blair & Company: Great, thank you.
Operator: (Operator Instructions)
Christopher Lafond: Great. Well, if there is no more questions, just one clarification. During my comments, this is Chris, earlier I made a comment that during the first quarter we repurchased 930,000 shares at a cost of 36 million. That should have been during the second quarter. For the full year 2011 we’ve repurchased about 2.3 million shares at a total cost of about 87.9 million. So with that unless there are any other questions I’ll turn it back to Gene.
Gene Hall: Thanks, operator. I think that will do it for us today. And thank you everyone, if you have any additional questions please contact Brian Shipman at 203-316-3659. Have a great day.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may disconnect at this time. Have a great day.